Richie Boucher: Welcome to our Interim Results for the Six Months to 31st June 2015. Thanks for those who are joining us here in Dublin and to those who are joining us by call and webcast. I'm going to give a short presentation after which Andrew Keating, our Group CFO will provide a more detailed review of our performance we then move to questions and answers. At our full year presentation last February we set a number of priorities for 2015 and beyond, focusing on three key areas. Customers, profitability and capital. Moving on the momentum we established in recent years we have delivered further good progress against these strategic priorities during the first half of 2015. As a key priority in the first half we continue to win new customers and develop our relationships with existing customers right across our businesses. We increased our new lending by 50% to €6.5 billion with strong performances across our businesses. We continue to be the largest lender to the Irish economy in the first half of 2015. Our business is secure as in good new lending momentum as credit appetite continues to recover. While in the UK reflecting the benefit from ongoing investments in our capability and distribution arrangements, we have significantly increased our new mortgage lending in the first half. Our restructuring solutions are working for challenged customers and our defaulted loans have fallen by €1 billion in the first six months of 2015. We also continue to make good progress in managing our low yielding Irish tracker book. Excluding Irish trackers in the defaulted loan redemptions, new lending exceeded redemptions in our other businesses in the first half. My colleagues and I are clearly focused on growing our profitability. We have made further substantial progress and are reporting an underlying PVT of €743 million for the first half of 2015. This is more than double the equipment figure for the same period last year. We have continued to drive strong capital organic capital generation. In first six months to June 2015, we increased our fully loaded core Equity Tier 1 ratio to 11.1% and increased our transitional core Equality Tier 1 ratio to 15.9%. Our strong capital position ensures we’re on track to derecognize the 2009 preference shares between January and July of 2016. Turning to the income statement, higher income, tight cost control and lower impairment charges have all combined for more than double our underlying PVT to €743 million. We increased our total income by €284 million to €176 million. This came from in net interest income which increased by 5% compared to the first half of last year as our net improved to 2.21% for the half and from a 210 million increase in non-interest income which primarily reflected gains of rising of rebalancing of our liquid asset portfolio as well as quick growth in our business income. In parallel we have maintained tight control of costs whilst also investing in our people and in our infrastructure, and initiatives to further improve our customer profit instance and our efficiency. Our customer loan impairment charge was a €168 million or 36 basis points in the first half of 2015. This was down from $444 million or 97.2 points in the same period last year. This reduction reflects the effectiveness of the actions we’re taking in improving economic environment and rising collateral values. I would also notice that our financial results includes additional gains of €220 million which Andrew will give you more detail on later. Turning now to the balance sheet, overall our customer loans were €85.3 billion at June 2015, that’s an increase of €3.1 billion since the year-end. The strengthening during the period obviously benefited the reported figure. We have continued to grow new lending in the first half of 2015 and we also concluded 2.5 year acquisitions. In Ireland with our strong franchise positions, we’re well-positioned to meet credit demand which is recovering as the economy grows and confidence returns. We also have significant momentum in our business through our partnership with the post office, while the recently announced partnership with the auto mobile association will give us further importance overtime. The momentum we’re seeing right across sour businesses give us confidence that we will continue to make further progress here in the second half of the year and beyond. Turning now to defaulted loans, we continue to appropriately and sustainably support viable customers who have financial challenges. As a consequence of our actions the improving economic environment and the ongoing recovery in collateral values would reduce the level of defaulted loans of €1 billion in the first half of 2015 with their improvement being right across our talent portfolios. We continue to drive strong organic capital generation. In the six months to end of June, 2015 we increased our fully loaded core Equity Tier 1 ratio by 180 basis points to 11.1% and our transitional core Equity Tier 1 ratio improved by a 110 basis points. We also further strengthened our total capital ratio to 20.7% reflecting the attributable profit and our successful H1 issue in June. As a result of our improving financial performance in the first half of 2015, we have increased our tangible net asset value per share by circa 11% to €0.24. Both the Irish and UK economies are performing well providing supported backdrops for our businesses. Ireland continues to be one of the fastest growing economies in Europe if not the fastest growing. The export sector continues to grow and the domestic economy is contributing as the recovery progresses. Rising employment and confidence levels are supporting consumer spending and investment. Commercial and residential property markets are also continuing to recover. Overall we expect the Irish economy to grow by about 5% in each of the next two years. We have about 45% of our assets in the UK, with GDP is also forecast to grow by about 2.5% this year with employment growth and property prices increasing. The UK economy is benefiting from strong domestic demand and this is expected to be a key driver of growth next year as well. The outlook for both economies remain favorable. We are the leading bank in Ireland. Our life business has continued to perform in-line with our expectations during the first half of 2015 and we’re well-positioned for further growth. I will draw your attention to some highlights, our mortgage lending is up more than 18% in the first half compared to the same period of last year. We continue to be commercially disciplined in the somewhat more competitive environment which we had anticipated as other companies move through their restructuring phases. Our Irish mortgage pricing strategy continues to focus on promoting our fixed rate offerings, we believe it will provide value and certainties to our customers and to the group. Fixed rate lending accounted for about 45% of new mortgage lending in the first half and that’s up from above 30% a year ago. Our life business has performed well in the first half. Overall new business levels were up 7%, with a stronger performance in the investment business. We’re the only bank [indiscernible] Island and we’re well-positioned to benefit from favorable demographic trends and increasing customer capacity and desire for our range of products as their own confidence and circumstances improve. We have continued to be the number one bank for businesses loan providing over 50% of new business lending. Business lending has continued to recover and new lending loans were up over 20% compared with the first half of 2014. We also completed the acquisition of a performing SME book from Danske Bank during the period. Our agriculture and multi-finance and commercial finance businesses has sustained the momentum established in previous periods and we continue to provide over 50% of new revenue lending. We also continue to be Ireland's number one corporate bank for domestic corporates and for multi-nationals investing in Ireland. New lending in our Irish corporate business was up 20% compared to the first half of 2014. In our treasury business foreign exchange trends were boasted by increased customer activity. We have continued to be the largest lender to the Irish economy with new lending across all of our Irish businesses touching €2.4 billion in the first half of 2015. Our international businesses provide further attractive opportunities for focused growth in chosen economics and sectors outside Ireland. In the UK to our very valid and long stand partnership with the Post Office, we’re the one of the leading consumer banking franchises. A key objective for 2015 is to significantly grow our new mortgage lending, building on the progress we made last year. In the first half of the year we have been successful in this subject with new lending of £1.3 billion compared with £0.6 billion for the same period in 2014. There is good momentum to the post office credit and bonds [ph] channels and through the intermediary channels under the trusted post office money brand. As a result our mortgage business grew in the first half and we expect further progress here in second half. Our other businesses with the post offices have also performed well in the first half. Two weeks ago we announced a new long term financial services agreement with the Automobile Association. This partnership is complimentary to the post office partnership and will combine our product development capabilities with the strength of the trusted AA bank brand and it's extensive and attractive membership. Our international acquisition finance business has also delivered another strong performance during the period. As I stated at the outset of customers our key priority for myself and my colleagues, our customers' needs and preferences continue to evolve. We’re continuing to invest to meet the changing needs and enhance our customer propositions across all of our businesses. We’re also investing to enhance our franchises and expand our distribution ten folds. I will give you just a couple of examples, as Ireland's enterprise bank we continue to strongly support our SME customers. We recently launched our FX pay platform which will materially simplify the international payment process for our customers. We’re also centralizing the standardizing process to apply for business loans of upto a €100,000. This is positive for our customers in terms of extended [indiscernible] and good for the bank in term of more efficient and standardized processes. I think business website has had fantastic feedback for almost 60,000 businesses registered in just three months of up and running. We have appointed number of dedicated specialist, customer advisor, sport and accelerate our digital adoption programs for our customers. This investment is delivering and due this the adoption has increased over 25% in the past year alone Our life insurance business known as Life Online, a new customer portal which will further support our integrated bank assurance strategy. This platform gives our pension investment customers direct access to rich and personalized information on investments and pension policies, all integrated alongside the existing current account and other banking products. We have also being investing to support our UK businesses and we have enhanced our distribution capability but building a new market leading mortgage platform, this platform has been initially launched to the intermediary channels and received very positive feedback. These investments and enhancements build upon the investments we have made in the recent years but there is still more to do. We will continue to proactively assess and engage with our customers on their changing needs and we will continue to invest further in our infrastructure. This will include further improvements in our customer facing technology, in our supporting systems and right across our technology platforms. We have delivered a strong performance in the first half and we’re well-positioned to continue to deliver. The Irish and UK economies in which we operate are growing and provide a very strong independent group. We have quality in retail and commercial franchises with the proven track record of delivery. We have a diversified business model which benefits from our geographic break from our life insurance business and from our international acquisitions finance business. We have a robust capital position and are well-funded. We run our businesses with a strong commercial focus and discipline and that’s reflected in our going progress. We have very clear set of priorities which my colleagues and I are focused on. The combination of these factors gives me confidence that Bank of Ireland will continue to meet the needs of our customers and deliver sustainable returns to our shareholders. Thank you. I'm now going now hand over to Andrew who is going to take you through the financial results in more detail.
Andrew Keating: Okay, so thank you Richie. Good morning everyone. Thank you all for joining us here this morning. As Richie has pointed out that the economies in which we operate are growing strongly and our businesses are performing well and we see this reflected in our financial results for the first half in two highlights in particular. Firstly the substantial increase is now underlying profit to €743 million and secondly our fully loaded capital ratio is now $11.1. I will now look at the financial statements in more detail starting with the group income statement. We delivered an underlying profit before tax of €743 million that is more than double the equivalent figure from last year. Higher income and lower impairment charges were the key factors behind this performance. We increased our total income by almost €300 million to over €1.75 billion. We grew net interest income by about €60 million or 5% and the growth in net interest margin was the key contributor here. In addition we increased our total other income by over €200 million, increased customer activity drove good momentum in our underlying business income and that is supplemented by the additional gains primarily arising on the rebalancing of our liquid asset portfolio. Our ELG fees reduced further and they will effectively be eliminated by the end of this calendar year. We continue to tightly manage our costs while investing in our people, in our infrastructure and in our businesses. Our cost income ratio was 50% in the first half albeit, this has benefited from the additional gains. Our asset quality continues to improve across all of the asset classes and this is reflected in a significantly lower impairment charge of €168 million and that’s down over 60% on the same period last year. Our results reflect additional gains of $228 million, fee is comprised the gains arising on the rebalancing of the liquid asset portfolio together with gains arising on the sale of certain other assets as such gains arise in the normal course of our business but they may not reoccur at the same level in future reporting periods. All of our trading divisions continue to be profitable and each of them has contributed to our strong financial results. Our retail divisions in Ireland and the UK have made a significant contribution to our improved financial performance. Our BOI Life and corporate and treasury divisions have also continued to perform well. I will now provide more detail on the key components of our income statement starting with our net interest income. This amounted to €1.2 billion in the first half of 2015 and that’s about 2% higher than the second half of last year. The increase reflects the growth in the net interest margin together it's own FX impacts. We earned a net interest margin of 2.21% in the first half of this year and that compares to 2.15% in the second half of last year. The increase reflects lower funding costs and the positive impact of new lending. The program of rebalancing our liquid asset portfolio which gave rise to the additional gains has also naturally impacted our net interest margin. Our exit margin in Q2 of this year was 2.17%, that proven of rebalancing our liquid asset portfolio is now largely complete and over the course of the rest of this year our lower funding costs and the margins on new lending should more than offset the lower yields on our liquid assets. Consequently we expect modest growth in our net interest margin from that Q2 level. Moving to customer lending, our new customer lending was €6.5 billion in the first half of this year and that’s an increase of 50% on the same period last year. It reflects the strength of our brand and franchises, the quality of our distribution platforms and the investments that we’re making to support customer acquisition. Our Irish businesses have performed well in the first half. New lending was up more than 35%, we’re continuing to benefit from a recovering economy and positive consumer sentiment. Bank of Ireland continues to be the largest lender to the Irish economy. Turning to the UK, as you know our strategy has been to invest in and selectively expand our distribution platforms in this market. In the first half our new mortgage lending was £1.3 billion and that is more than double the same period last year. After several years of deleveraging our UK mortgage book has now returned to growth. Overall group redemptions amounted to €6.9 billion off this about 1.6 billion relates to the positive cash flow impacts from the actions we’re taking to reduce defaulted loans. The positive impacts from our management of the low yielding Irish tracker book and the ongoing rundown of our non-core books in Great Britain. As you can see most of our loan books grew in the first half, and given the moment that we’re seeing across our businesses we’re confident that we will continue to make further progress in the second half of this year and beyond. Turning to operating expenses, we continue to maintain tight control over all of our costs while investing their businesses in our people and in our infrastructure. In 2015, our operating expenses increased by about €60 million compared to the same period last year. Now three factors have driven this increase, the strength of sterling accounted for €23 million on a reported basis, the cost of pensions increased by €11 million primarily as a result of the increase in redemptions last year. The balance relates to the investments we’re making and expanding of distribution platforms, in enhancing our franchises and improving our customer propositions. The Irish bank levy will be accounted for in the second half of this year. Moving to asset quality, defaulted loan volumes across all of the asset classes have continued to fall. In total they reduced by €1 billion over the last six months and that reduction would have been €1.4 billion on a constant currency basis. Standing back in the two years since their feet, we have reduced the level of defaulted loans by €5 billion and that’s 27% and as we look forward, we anticipate further reductions in the second half of this year and beyond. We have also reduced impairment charges across all of the loan portfolios. Over the last six months impairment charges amounted for 36 basis points. Over the remainder of this year, we expect our impairment charges to remain as broadly similar levels. Turning specifically to Irish mortgages, we continue to be focused on the resolution of Irish mortgage arrears. Defaulted loans involve the owner occupied book and the [indiscernible] book has each reduced by €200 million. As a consequence our arrears level in the owner occupied book continues to be at less than half the level of the rest of the industry. Our relative position in our 7-20 arrears book is even better. And these positive trends are continuing into the second half of this year, turning to funding and capital. We have a strong balance sheet with a capital and liquidity to support our continuing growth, our liquidity ratios are robust. Over 90% of our loans are funded by stable pools of customer deposits which are predominantly retail oriented. We further reduced our wholesale funding requirements and have repaid some expensive residual tranches in the last six months. We continue to access wholesale funding markets at reducing costs while further extending our maturities. We have repaid almost €3 billion to the ECB and the remaining balance of €1.5 billion all relates to the TLTRO. In recent months the rating agencies Moody's and Standard & Poor's have both recognized the progress that the group has made. Each rating agency has now operating our senior rating to investment grade. Turning now to capital, during the first half of this year we continued to generate capital at a significant pace. Our CET1 transitional ratio increased by 110 basis points to 15.9% at June, that capital build was predominantly of the profits that we have earned during the period. We have increased our fully loaded capital ratio by 180 basis points in the first half. At June our fully loaded ratio was 11.1% and that excludes preferred shares. In addition we strengthened our total capital ratio to 20.7% reflecting attributable profit and our successful issue of the 81 securities last June. Putting all that together, we have continued to generate capital at a significant pace this year. Our capital ratios are robust and we remain on track to de-recognize the preference shares between January and July of next year. I will conclude by summarizing the key financial highlights of our first half performance. We delivered an underlying profit of €743 million that’s an increase of more than €400 million on the same period last year. We have improved our fully loaded capital ratio to 11.1% and we remain on track to derecognize the preference shares. Thank you all very much.
Richie Boucher: Clearly as we said, we delivered a strong business and financial performance in the first half and as we look forward we have clear set of priorities, we’re well-positioned and my colleagues and I remain very focused on our responsibilities to deliver for our customers and for our shareholders. So now I would like to turn to questions please.
Operator: [Operator Instructions]
Unidentified Analyst: I have two, shall I say it together?
Richie Boucher : Yes please.
Unidentified Analyst: I have full results, I know you’ve provided some guidance on name progression through 2015. Clearly this will be appear to be based on maybe lower AFS disposals than we’re crystalized and I wonder if you might comment on the impact of those gains in terms of progression from here and secondly just the strong capital build would suggest the redemption of the preference shares in the earlier part of your January to July timeframe that you set out. Is there any impediments to redemption kind of in early January so for instance full year accounts being prepared or something like that? Thank you.
Andrew Keating: Maybe if I take the net interest margin question first Jeremy, so as you said when we spoke about the full year guidance at the time of full year results we had exactly as you described a different expectation in terms of the level of AFS bonds. In the second quarter of this year we sold about €2 billion of the AFS bonds and that has had an impact on our net interest margin of you call it 4 to 5 basis points. So effectively what that program has done which obviously generated the additional gains and have actually brought that income into this current year, it has effectively rebased our net interest margin. So I have talked about the Q2 margin being at a level of about 2.17% and as we look forward into the second half of this year we see that the benefit of the lower funding costs together with the impact of the margins on the new lending that we’re doing will more than offset the impact that we have seen from the disposal of those AFS bonds. So we would expect modest growth in our net interest margin over the course of the rest of this year from that rebased level of 2.17%.
Richie Boucher : Well on the preference shares, Jeremy, when we did repayment of the final repayment of tax payers money in 2013 we set out for our shareholders we have raised some money for shareholders at time and we get the on-sale to the private sector. We said two things, we said that -- about three things, really we said that first of all that we had an agreement with the Central Bank of Ireland as to the how we were going to deal with the issue, we said to the investors in the bonds that we unnecessary under certain circumstances that that wouldn’t be redeemed before end of January and we had said to the Central Bank of Ireland that we would derecognize before the end of July. Fairly these are customers [indiscernible] our capital generation is very strong and particularly on a fully loaded basis which is a key focus for us. So, we would shoot to do the derecognition as early as we can within that time envelope I talked about, there is a consultation process going necessary with the [indiscernible]. But given our capital generation and I don’t see any impediments on the horizon at the moment to meet those objectives we set for ourselves and which we set out for our shareholders.
Unidentified Analyst: Just in terms of your comments around net interest margin, progression going forward. I mean you referred specifically to enhanced margins on new landing and if you could speak a bit more particularly about what pockets of the new lending book where you see margins increase, I’ve a second question in relation to asset growth more generally. Do you see acquisitions and refi opportunities as comprising a substantial component of asset growth and over the medium term and I suppose and details you can provide in relation to potential and growth by the virtue of the distributions you have in the UK, what you referred to in that regard.
Richie Boucher : Our strategy is to grow the businesses, to grow the businesses by giving more businesses to our existing customers and win new customers, on a customer by customer basis and I think it's very gratifying if we see right across our businesses that my colleagues who have that responsibility or achieving that targets. But in the markets we operate, there are portfolios that come up to sale there. We see that is something we should look at as long as within our risk appetite and it's margin accretive and it's in excess of our capital hurdles but I would very much look at that as kind of cream on top of the cake. I require my colleagues to achieve their business objectives and the volume targets by their day to day activities and their businesses, the portfolio acquisitions or maybe what we can do from the same particular -- some assistance they -- I mean we always look at opportunities there are opportunities that arise in the market. I think some of that -- the exiting banks so that the restructuring the bank phase is over but we will look at the private equity, well I'm sure we will continue to scrub and look at their portfolios. But I would see it as primarily a focus of some incremental and the guidance we give in terms of continued growth and new lending etcetera, it doesn’t assume any portfolio acquisitions. Turning to the AA, we’re not buying any books, we’re not assuming any books of business so it is in effect to startup, it's a new relationship DAA is a strong brand, they have [indiscernible] in customers and we will launch our products on an appropriate basis. So I wouldn’t be expecting any material impact on business volumes or income indeed for that second half of this year. We were kind of in an investment phase in that relationship but a long term relationship and it's something that we thing will complement our very successful relationship with the post office. On the name, Andrew?
Andrew Keating: So on the name I think John, one of the things that you see with Bank of Ireland is the advantage of having a diversified business model and diversification across geographies clearly in terms of Ireland, UK and our international corporate business but also in terms of diversification of cost asset classes. One of the key disciplines for us is that if actually all new lending must generate an appropriately risk adjusted return on our capital. All of the average margins on all of our new lending, the average margin is higher than the reported book margin that you see and obviously even within certain asset classes there will be certain portfolio which will have margin that’s below that average and then obviously the products that will have a margin of both the average but in overall terms across the €6.5 billion of lending, all of that will have been there additive to our overall net interest margin that you see.
Richie Boucher : I think there is also a mix impact, John, so like I said, the tracker mobile [ph] has continued to repay and that’s a factor and obviously as a non-performing loan portfolio continue to come down that will be another factor which drives the numbers on.
Unidentified Analyst: I’ve just two questions, one in relation to impairments, [indiscernible] adjustments done in the year just in relation to the impairment figure and then secondly just kind of following on, a little bit on the asset growth discussion, the gap between new lending and redemptions is closely considered to be there in H1. So I'm just wondering would you be comfortable in calling stabilization in the book about FX in H2?
Richie Boucher : I think on the book, I mean non-performing loans continue to come down is a good thing obviously from our perspective it's a key goal and key objective and tracker redeeming repayment is obviously positive. So I mean I think we will be on the stabilization, the books that we make money out of that give us the returns or in growth, they are growing faster than customers are repaying those books. So I think that’s positive. You know when exactly the point is I'm certainly not going to ask my colleagues to slowdown. They work on the non-performing loans to get some kind of cross point, but I think certainly you know we continue to hold our target to build to a 90 billion that doesn’t assume exchange rates, it's constant currency basis and I think that’s something that we’re very focused on delivering on that.
Andrew Keating: Just on the impairment side, it's important to look at the impairment in a number of different angles, clearly I think [indiscernible] at the year-end in terms of the approach that we take in terms of the setting of the impairment provisions for the Irish mortgages and clearly that starts with the house price index. Obviously it should be lagged and discounted that is one input into the provision stock but obviously it's only one input. As we look at and the Irish mortgage book. Our internal focus is very much on those things that we can control. So it's working with our customers who are in financial difficulty, developing and designing and putting in place with those customers' structures that work for the customer and that are appropriate for the bank given our policies and that work has been successful over the past couple of years. You’ve seen very significant reduction in the level of default arrears and defaulted loans in the Irish mortgage book, we saw a further reduction of €400 million in the first half of this year,200 million owner occupied and 200 million are the vital ones and certainly as we look forward and we look at provisioning the key focus for us continues to be maximizing recovery for the shareholders and provision will effectively us. The big focus is on the cures [ph] and as well with the input and the big factor that we look to in terms of our level of impairment provisions as we go forward.
Richie Boucher : I think if we look at the official statistics for the period under a view and then obviously our own experience. I don’t think house price inflation or recovering house prices would have been as material impact on the margin. It would have been the procure rate and the restructurings and that’s how we see the area. We’re focused it's nearly -- we can work on our control and the thing is gratifying that we’re seeing customer care rates have been important part of the provisioning process.
Unidentified Analyst: Just maybe following on front that, I mean if I look more generally it's slide 30 there looking at your financial targets, you’re substantially ahead of most in some of this stage and could you give us some guidance as to where you might see those progressing and I mean looking at them impairment charge 36 bips and H1 you have got a 55 to 65 given the NPR stock is still falling, given the HPI moves you would expect, would you expect 36 to be ore run-rate beyond H2 as well? And maybe separately as well just if you can share any thoughts it might have evolved since your last update on total loss absorbing capacity and [indiscernible].
Andrew Keating: I mean I suppose in terms of team AMRO starting with us and then I will deal with the impairment charge and maybe would you might on the targets please? On the [indiscernible] those initial was continue to develop, obviously [indiscernible] contribution that’s going to have more relevance for the bank in the near term with 2016 coming down the track. I think as we look at that Stephen you have seen the increase in their total capital ratio, our total capital ratio at June was 20.7% and when we take account of the preference shares and the derecognition of those preference shares and our total capital ratio is still very close to 20% and that position is also we believe very well, very strongly, robustly to deal with any requirements that do develop over the second half of this year and they come down the track for application next. I think and obviously we’re keeping a close eye in that in terms of the medium term but again the fact they are total capital ratios well at that 20% level meaning that where we have come in terms of or our ability to deal with any requirements that may come from that. I think in terms of the impairment as you say and the targets that you’ve on slide 30 was set back in the first quarter of 2011, obviously a huge amount is changed since then, business mix etcetera and interest rate environment economic environment etcetera have all changed and certainly our impairment charge booked in the first half of this year 36 basis points I think I mentioned that we expect the charge in the second half of this year to be broadly at similar levels. I think as we look forward over the next couple of years a charge of 35 to 40 basis points which was supposed to be a more appropriate charge given the business mix that we have, given the quality of that assets that we have under our balance sheet, given the type of new assets that under our balance sheet and given the outlook for the economic environments that we operate in.
Richie Boucher : I think on the targets, I mean the other obviously think that we can we would reiterate and Stephen as the capital -- so we would continue to hold our intention to quickly have a buffer of a 10% of core equity on a transitional business and not transitional -- reach the full load. And behind the questions, obviously dividends and like I said our focus is on the preference shares -- it's our intention to be a dividend stock. When exactly we will do that is something that the board and ourselves will assess that this is a clear intention to be a dividend stock. I think we should be, we have a diversified business model. Our capital generation all point have moving to our capacity to do that but when exactly that will be will be something spilled at the board and the management could [indiscernible].
Unidentified Analyst: I just wanted to ask a very little one [ph], congratulations first of all on the fully loaded capital ratio which had quite inculcated and persisted over the last couple of years at the bank, wasn’t sufficiently well-capitalized especially India, off the profits trajectory. But I just wanted to -- you were very explicit at the time of [indiscernible] pension to accept contribution. That contribution of this moment rate and from the fund performance, could you provide that number for the half year?
Andrew Keating: Sure no problem. So we have included in the appendix of the slide deck, a couple of detailed pages on the pension scheme, their set of reference on page 46 and 47. So in overall terms the update on the numbers, if you want to know the overall deficit at December was a €1 billion, at March we had €1.7 billion and at June it's more than full reversed to a level now €800 million. So there has been an improvement from 1.7 at June upto €800 million today. In terms of the key factor behind that, obviously it's a combination of the discount rates which has increased from a level of March of about 1.4% to a level today or at June of about 2.4% - 2.45% and obviously the sustained asset performance in that scheme has meant that the overall deficit is now back at, a level of about €800 million.
Richie Boucher : But there are other things that we try and help people is just to understand. Obviously price volatility is an issue. I mean the underlying funds has been strong and in terms of actual evaluations etcetera I think with the sacrifices that the serving bank basically in particularly took in 2010 and 2013, the structural deficit in these schemes have been dealt with. As part of those agreements with the sharing members of the bank, did meet the contributions is about another 550 million of cash contributions still going. So mathematically that should continue to reduce the cash volatility to impact and the second thing is that we have continued to change the type of assets, the performance hold, you know in consultation with the trustees has it therefore I think those are other factors which should continue to mitigate against underlying volatility or accounting volatility in the funds.
Operator: [Operator Instructions]. Our first question comes from David Lock of Deutsche Bank. Please go ahead.
David Lock: I’ve got one follow-up question and then two extra questions, the first one is and on that pension deficit I just wondered, I mean given the volatility that you’ve seen there which is frankly enormous I mean I just wondered what the regulators approached to this because when we’re thinking longer term about your -- you have potentially have any dividend paying stock and your cash [indiscernible] is actually having some big move driven by discount rate which is really not in your control so it's obviously not great. So wondered if you could give any kind of color on how the regulator has been approaching this over the kind of long term period and how we should think about that. The other two questions were, I think on costs, I think the full year presentation you were flagging some increase in cost to come through and I just wondered if you can give an update around what you’re expecting around regulatory costs going forward particularly given the deposit guarantee scheme and things like that. And then secondly impairment provisions, I know you still got basically 3.9 billion in provisions in cost in construction which is frankly a lot bigger than in the mortgage area which is I think where a lot of commentary that was around. I just wonder if you can give any color around how you really see this provision balance kind of evolving over the coming years. It's quite difficult, I think from the outside to really understand the mix of where those provisions lie, some in the UK, some in Ireland and against what type of assets because clearly there has been rallies in some asset classes and there have been improvements we have seen in other banks. So I wondered if you can give us some color on that area in particular. Thank you.
Richie Boucher : On the follow-up to the pension, I mean obviously we discussed with our regulators in an ongoing basis and all items of the business in the capital. I think a very important formal process is obviously our ICAP and our ICAP within that I think would have particular recognition of those factors, you’re right to point out this thing outside of our control. So we’ve a huge focus when things are in our control. We did ask the serving members to and agreed to take benefit changes, that’s been delivered and the nature of the assets that the funds invest in has changed and has been delivered and again that’s described in 46 and the cash coming into the scheme has also being delivered. So even if one was to do say a scenario with the same volatility was to occur, if we look at a two year, three year horizon as the asset classes that we’re invested have continued to change and the cash calls it the potential for volatility i.e. the quarter that could be subject to volatility is reducing. So I think that the -- we certainly understand where that is going and we have set that out to in our ICAP those have range of scenarios. On costs, I mean we would continue to give a focus on our costs, I referred to you know on our ongoing prices around infrastructure and looking at infrastructure I think it's very gratifying in the first half of the year to see that we have been able to deliver for our customers in areas that enhance their relationship with us and the ability to engage with us digitally. I mean we continue to review as all banks are doing, our underlying core infrastructure and does expect with us, you know this is something that we and -- thinking about carefully making a plan and looking at a plan that would enable us to further improve the core, underlying infrastructure which is a big driver of cost to be quite frank about it and looking at a plan that will certainly improve that more on a basis that mitigates risk that mitigates disruption to customers and clearly would provide value for money for shareholders. On the costs, we do call out and we do note that in the second half of this year there is a certainty which is a government levy which is 38 million and we will be subject to some kind of a payment for the stability fund. The exact quantum of that is not certain but the total charge, the Irish banking system is I think around 75 million, Andrew?
Andrew Keating: Actually this year there is the charge, the resolution firm is expected for the banking sector to be €75 million and then to increase from there the share for Bank of Ireland and the timing of the quantum and the impact of that going forward. We don’t have enough detail, yes we will share that with you. There will be a separate piece of ---the deposit protection scheme, this is the €100,000 scheme. Again there is uncertainty around the timing and quantum of that and I don’t have enough information to be able to share that with you today as soon as we do get that level of information of course we would share that with you.
Richie Boucher : But overall I think you know you expect us to continue to have a tight control of our cost while making some sensible investments. Turning to the provisioning and impairments and I think you had an appropriate focus on commercial real estate. If we look at -- as we have said it out there, land and development is probably 35% to 80% Republic of India and I think we have provisioned against that where we have ongoing land or land replant the mission, we discounted very, very heavily probably back to toward agricultural values. With land and development it's not all land, there is obviously development schemes, there is development schemes as the market is recovering, there is opportunities for us in conjunction with the customer or indeed with someone else in market willing to take on the scheme and to complete out that scheme. So we think that it better workout. Regarding about the commercial real estate, it's probably about 55% of UK, 45% Republic of Ireland and it's a mix probably a slight bias in that mix towards retail type commercial real estate and within that we give credit closely at our exposure through our customers to concentration risk in terms of tenancies etcetera and the weighted average life of tenants. So we do quite a lot of work but not just as we look at individual but we look right across the portfolio. What we’re seeing in Ireland is that the commercial real estate recovery has probably being yet primarily around the big cities, Dublin, Cork and go away, Limerick recovering slightly more slowly and some of the regional center is still recovering probably at a pace and we think probably the main euro shift has taken place but what is encouraging is we’re starting to see rental growth has been the future in Ireland. In the UK again -- we’re as comfortable as we can be, I mean Andrew signed the accounts yesterday so we’re as comfortable as we can debtor where we have it. I would say -- our approach to provisioning is prudent. We look at what we think is in the underlying portfolio. We also test our own assumptions by having as you know David, our philosophy is to work hard. This portfolio of sales to maximize cash but we do test our own assumptions in the market generally and also sometimes in some instance just take some risk off the table by having portfolio of sales and indeed in the Irish market for example at the moment we have couple of portfolios up for sale. And the early indications of interest in those portfolios are encouraging regard to demand and where that demand and where their prices might land as compares to the provisions we would have against those portfolios.
Operator: [Operator Instructions].
Richie Boucher : Well, again thanks very much for your interest in the company and I think we will be seeing some of you over the next few days. So, thanks again.